Operator: Good day and thank you for standing by. Welcome to the Fourth Quarter 2023 Haemonetics Corporation's Earnings Conference Call. At this time, all participants are in listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to turn the conference over to your speaker today, David Trenk, Investor Relations. Please go ahead.
David Trenk: Good morning, everyone. Thank you for joining us for Haemonetics fourth quarter fiscal 2023 conference call and webcast. I'm joined today by Chris Simon, our CEO; and James D'Arecca, our CFO. This morning, we posted our fourth quarter fiscal 2023 results to our Investor Relations website, along with our fiscal 2024 guidance and the analytical tables with the information that we will refer to on this call. Additionally, we've provided a complete P&L, balance sheet, summary statement of cash flows as well as reconciliations of our GAAP to non-GAAP financial results and guidance. Unless otherwise noted, all revenue growth rates discussed today are organic and exclude the impact of currency fluctuation and strategic exits of product lines. As in the past, we'll refer to non-GAAP financial measures throughout this call to help investors understand Haemonetics ongoing business performance. Please note that these measures exclude certain charges and income items. Please refer to this morning's earnings release for details on excluded items including comparisons with the same periods of fiscal 2022 and a reconciliation to our GAAP results. Our remarks today include forward-looking statements, and our actual results may differ materially from the anticipated results. Factors that may cause our results to differ include those referenced in the Safe Harbor statement in today's earnings release and in our other SEC filings. We do not undertake any obligation to update these forward-looking statements. And now I'd like to turn it over to Chris.
Christopher Simon: Thanks, David. Good morning and thank you all for joining. Today, we reported organic revenue growth of 17% in the fourth quarter and 21% in fiscal 2023. We reported adjusted earnings per diluted share of $0.77 in the fourth quarter and $3.03, in fiscal 2023, increases of 18% and 17% respectively. For the first time, Haemonetics eclipsed $1 billion in annual revenue, a milestone in our transformational growth journey. Despite the challenging macroeconomic environment we are delivering and building momentum by creating essential value for donors, patients, and caregivers around the world. Our consistently strong performance throughout fiscal 2023 marked and outstanding start to our long range plan. Three value drivers are fueling our success. First, plasma volumes from unprecedented collections recovery, coupled with the benefits of our successful technology upgrades. Second, accelerated Vascular Closure U.S. account penetration and performance in hemostasis management aided by improving budgets and staffing in hospitals across the world. And third, operational excellence providing agile and resilient supply capacity to meet robust demand and greater productivity to offset inflation and fund our growth. We anticipate these unique value drivers will continue to distinguish Haemonetics and drive our success moving forward. We are realizing transformational growth of our company and our businesses. Let's turn to our business unit results and revenue guidance. Plasma revenue grew 31% in the fourth quarter and 43% in fiscal 2023, driven by volume growth and price benefits. North America disposables represented 85% of our Plasma revenue in fiscal 2023 growing 33% in the fourth quarter and 46% in fiscal 2023. It was a historic year as plasma fractionators strove to replenish safety stocks that were dangerously depleted during the pandemic. As a result, we saw record collection volumes throughout the year and we don't expect any abatement of this trend in the near-term. We also retained a majority of CSL U.S. disposables business which grew at a rate comparable to our overall U.S. disposables business. Our global CSL business accounted for approximately 14% of our reported revenue in fiscal 2023. We increased production and strengthened our supply chain to meet heightened demand for plasma devices and disposables. These investments will also create meaningful operational efficiencies over time as demand normalizes.
NexSys with Persona: Hospital revenue grew 19% in Q4 and 18% in fiscal 2023, primarily driven by growth in Vascular Closure and Hemostasis Management. At the beginning of fiscal 2023, we guided 16% to 19% Hospital growth for the year. In August we raised that guidance to 19% to 22% after a strong Q1 in Vascular Closure. The COVID outbreak in China in Q3 negatively affected Hemostasis Management and Cell Salvage revenue such that we did not meet our upwardly revised forecast. Trends improved globally in Q4 including significant improvements in hospital staffing and easing budgetary constraints. The hospital business unit had its first $100 million revenue quarter in Q4 and we are optimistic that these trends will continue in fiscal 2024. Hemostasis management revenue grew 22% in the quarter and 11% in fiscal 2023. North America, our largest market delivered double digit growth in Q4 and in fiscal 2023. Global growth was driven by strong adoption and utilization of TEG disposables in both periods. Vascular Closure revenue grew 31% in the quarter and 35% in fiscal 2023. We realized this growth by opening new accounts and driving penetration to gain share in the top U.S. EP hospitals. International commercialization of VASCADE is underway utilizing hybrid sales models and leveraging existing back office infrastructure. We expect our first sales in Europe in Q1 fiscal 2024. Transfusion Management revenue grew 8% in the quarter and 19% in fiscal 2023. Growth in the quarter and fiscal year was driven by expansion of our sales force and software implementations in the U.S. and U.K. Cell Salvage revenue grew 4% in the quarter and 3% in fiscal 2023. Fourth quarter benefited from one time orders in North America. Fiscal 2023 benefited from strong capital sales and favorable order timing among EMEA distributors. The benefits in both periods were partially offset by large stocking orders in Japan last year. Blood Center revenue declined 4% in the fourth quarter and 2% in fiscal 2023. Apheresis revenue was flat in the quarter and declined 4% in fiscal 2023. In the fourth quarter, we grew Egyptian plasma collections and achieved red cell collection share gains in the U.S. that were offset by lower convalescent plasma revenue when compared with the prior year. Whole blood declined 9% in the quarter due to unfavorable order timing among APAC distributors and customers reducing safety stocks built during the pandemic. For fiscal 2023, whole blood revenue grew 5% driven by share gains in North America as our resilient supply chain enabled us to serve customers when competitors could not. Now turning to fiscal 2024 revenue guidance, we are confident about our momentum going forward as we pursue opportunities to deliver our short and long-term goals. We expect total company organic revenue growth of 5% to 8% in fiscal 2024. We are enthusiastic about the opportunities in our plasma business and anticipate plasma revenue growth of 3% to 6% in fiscal 2024 with price and volume both contributing meaningfully. After exceptional recovery and growth in fiscal 2023, our plasma business forecast, excluding CSL, is in line with the mid-teens growth rate that we expect over the next several years as communicated in our LRP. Regarding CSL, we expect our share of their plasma business to decrease in the second half of fiscal 2024. Our guidance for fiscal 2024 includes a minimum purchase commitment from CSL under our non-exclusive supply agreement that is slightly in excess of $100 million. We expect that CSL will continue to provide a meaningful contribution to our plasma business revenue in fiscal 2025. We remain committed to providing CSL and all of our plasma customers with the highest level of service and support. We are excited about the future of Hospital as a long-term growth driver for our business. Our clinical and commercial strategies are working and we are tracking ahead of our long range plan. In fiscal 2024, we expect the Hospital business to deliver revenue growth of 16% to 18% driven by strength in Vascular Closure and Hemostasis Management. Our Blood Center revenue guidance is a year-over-year decline of 2% to flat. The pacing of revenue in this business is backend loaded with unfavorable order timing impact in the first half of the year when compared with fiscal 2023. In summary, this is a very exciting time for Haemonetics and we are enthusiastic about our prospects for the new fiscal year. We are strengthening our competitiveness and capitalizing on opportunities in plasma while accelerating our pivot to higher growth, higher margin, innovative hospital based opportunities and improving productivity through operational excellence. We are using our momentum to sustain growth, improve margins, and advance our industry leadership, taking evolutionary steps to deliver revolutionary results. Now I'll turn the call over to James to discuss our financial results and earnings guidance.
NexSys platform as the industry standard.: Hospital revenue grew 19% in Q4 and 18% in fiscal 2023, primarily driven by growth in Vascular Closure and Hemostasis Management. At the beginning of fiscal 2023, we guided 16% to 19% Hospital growth for the year. In August we raised that guidance to 19% to 22% after a strong Q1 in Vascular Closure. The COVID outbreak in China in Q3 negatively affected Hemostasis Management and Cell Salvage revenue such that we did not meet our upwardly revised forecast. Trends improved globally in Q4 including significant improvements in hospital staffing and easing budgetary constraints. The hospital business unit had its first $100 million revenue quarter in Q4 and we are optimistic that these trends will continue in fiscal 2024. Hemostasis management revenue grew 22% in the quarter and 11% in fiscal 2023. North America, our largest market delivered double digit growth in Q4 and in fiscal 2023. Global growth was driven by strong adoption and utilization of TEG disposables in both periods. Vascular Closure revenue grew 31% in the quarter and 35% in fiscal 2023. We realized this growth by opening new accounts and driving penetration to gain share in the top U.S. EP hospitals. International commercialization of VASCADE is underway utilizing hybrid sales models and leveraging existing back office infrastructure. We expect our first sales in Europe in Q1 fiscal 2024. Transfusion Management revenue grew 8% in the quarter and 19% in fiscal 2023. Growth in the quarter and fiscal year was driven by expansion of our sales force and software implementations in the U.S. and U.K. Cell Salvage revenue grew 4% in the quarter and 3% in fiscal 2023. Fourth quarter benefited from one time orders in North America. Fiscal 2023 benefited from strong capital sales and favorable order timing among EMEA distributors. The benefits in both periods were partially offset by large stocking orders in Japan last year. Blood Center revenue declined 4% in the fourth quarter and 2% in fiscal 2023. Apheresis revenue was flat in the quarter and declined 4% in fiscal 2023. In the fourth quarter, we grew Egyptian plasma collections and achieved red cell collection share gains in the U.S. that were offset by lower convalescent plasma revenue when compared with the prior year. Whole blood declined 9% in the quarter due to unfavorable order timing among APAC distributors and customers reducing safety stocks built during the pandemic. For fiscal 2023, whole blood revenue grew 5% driven by share gains in North America as our resilient supply chain enabled us to serve customers when competitors could not. Now turning to fiscal 2024 revenue guidance, we are confident about our momentum going forward as we pursue opportunities to deliver our short and long-term goals. We expect total company organic revenue growth of 5% to 8% in fiscal 2024. We are enthusiastic about the opportunities in our plasma business and anticipate plasma revenue growth of 3% to 6% in fiscal 2024 with price and volume both contributing meaningfully. After exceptional recovery and growth in fiscal 2023, our plasma business forecast, excluding CSL, is in line with the mid-teens growth rate that we expect over the next several years as communicated in our LRP. Regarding CSL, we expect our share of their plasma business to decrease in the second half of fiscal 2024. Our guidance for fiscal 2024 includes a minimum purchase commitment from CSL under our non-exclusive supply agreement that is slightly in excess of $100 million. We expect that CSL will continue to provide a meaningful contribution to our plasma business revenue in fiscal 2025. We remain committed to providing CSL and all of our plasma customers with the highest level of service and support. We are excited about the future of Hospital as a long-term growth driver for our business. Our clinical and commercial strategies are working and we are tracking ahead of our long range plan. In fiscal 2024, we expect the Hospital business to deliver revenue growth of 16% to 18% driven by strength in Vascular Closure and Hemostasis Management. Our Blood Center revenue guidance is a year-over-year decline of 2% to flat. The pacing of revenue in this business is backend loaded with unfavorable order timing impact in the first half of the year when compared with fiscal 2023. In summary, this is a very exciting time for Haemonetics and we are enthusiastic about our prospects for the new fiscal year. We are strengthening our competitiveness and capitalizing on opportunities in plasma while accelerating our pivot to higher growth, higher margin, innovative hospital based opportunities and improving productivity through operational excellence. We are using our momentum to sustain growth, improve margins, and advance our industry leadership, taking evolutionary steps to deliver revolutionary results. Now I'll turn the call over to James to discuss our financial results and earnings guidance.
James D'Arecca: Thank you, Chris, and good morning everyone. Our adjusted gross margin was 51.8% in the fourth quarter and 53.2% in fiscal 2023, a decrease of 180 basis points and 70 basis points respectively when compared with the same periods of the prior year.
NexSys: Adjusted operating expenses in the fourth quarter were $103.6 million, an increase of $8.3 million or 9% compared with the fourth quarter of the prior year. As a percentage of revenue, adjusted operating expenses decreased by 200 basis points to 34%. Adjusted operating expenses for fiscal 2023 were $403.6 million, an increase of $54.9 million or 16% compared with the prior year. As a percentage of revenue, adjusted operating expenses decreased by 60 basis points to 34.5%. In the fourth quarter, higher operating expenses were driven by performance based compensation, investments in sales and marketing and R&D, and return to normal spending activities, partially offset by improving freight and Operational Excellence Program savings. In fiscal 2023 higher operating expenses were driven by performance based compensation, higher upfront investments in operations to meet unprecedented demands in plasma collections, along with manufacturing cost headwinds such as higher freight costs within our network and expedited outbound shipping costs. Contributions from our productivity savings helped offset some of the cost increases, both in the quarter and in fiscal 2023. Fourth quarter adjusted operating income was $53.9 million, an increase of $7.3 million or 16% and adjusted operating income for fiscal 2023 was $218.4 million, an increase of $31.3 million or 17% compared with the prior year. As a percentage of revenue, adjusted operating income margin was 17.7% in the fourth quarter and 18.7% in fiscal 2023, up 10 basis points and down 10 basis points respectively compared with the same periods in fiscal 2022. The impacts of the macroeconomic driven inflationary environment upon our adjusted operating margins in fiscal 2023 were broad based, including freight, raw materials, and labor. We incurred approximately 390 basis points impact from inflationary pressures on our adjusted operating income margin in fiscal 2023 compared to approximately 300 basis points impact in fiscal 2022. In addition, we incurred higher performance based compensation in fiscal 2023 than in the prior year. Our operational excellence program is an important lever in our efficiency and ability to create savings. In our fiscal 2023 this program delivered $26 million of gross savings, freeing up resources to fund additional investments. Since the inception of this program, we have generated $96 million in cumulative gross savings slightly ahead of our plan. We also had positive contributions towards operating margins from Vascular Closure. As this business grows, we can expect higher leverage positively impacting our margins. We are excited about the opportunities in Vascular Closure and will continue to allocate investments to fund its growth in both new and existing markets. The adjusted income tax rate was 23% for fourth quarter and 24% for fiscal 2023, compared with 22% for both comparative periods of the prior year. The adjusted income tax rate in fiscal 2023 was higher due to jurisdictional earnings and executive compensation. Fourth quarter adjusted net income was $39.2 million, up $5.7 million or 17%, and adjusted earnings per diluted share were $0.77, up 18% when compared with the fourth quarter of fiscal 2022. Adjusted net income for fiscal 2023 was $155.7 million, up $23.1 million or 17%, and adjusted earnings per diluted share was $3.03 up 17% when compared with the prior year. Changes in the adjusted income tax rate, higher interest expense, and FX had a negative $0.07 impact on the fourth quarter, and a negative $0.19 impact on the full year adjusted earnings per diluted share when compared with the prior year. Cash on hand at the end of the fourth quarter was $284 million, up $25 million since the beginning of the year. Free cash flow before restructuring and restructuring related costs was $190 million compared with $117 million at the end of the last fiscal year. During fiscal 2023, Haemonetics benefited from increased operating cash flow, partially offset by $75 million in share repurchases. Additionally, the company paid $32 million of earn out payments related to previous acquisitions and made a $30 million Euro investment in Vivasure Medical. Moving on to fiscal 2024 earnings guidance, we expect fiscal 2024 adjusted operating margins in the range of 20% to 21%. In fiscal 2023 unprecedented growth in plasma created atypical operational pressures. To ensure that we continued to fulfill our customer's needs, we were required to purchase components and other manufacturing inputs at spot prices, which negatively affected our margins. We expect these inefficiencies to persist in the near-term, but to start to abate in the second half of fiscal 2024. Therefore, our operating margin guidance is backend loaded with first half margins expected to be below our full year guidance range before growing in the second half. In addition to an improving manufacturing environment, we will continue to benefit from a favorable sales mix and improving the profitability of our hospital business. We expect our Operational Excellence Program to deliver additional growth savings of approximately $20 million, $6 million of which are net savings benefiting our bottom line with total cumulative savings reaching $116 million by the end of our fiscal 2024. Despite the additional near-term operational challenges, the margin expansion goals we presented in our long range plan are on track. Our adjusted earnings per diluted share guidance for fiscal 2024 is a range of $3.45 to $3.75, representing a 14% to 24% growth rate when compared with fiscal 2023.
NexSys: Adjusted operating expenses in the fourth quarter were $103.6 million, an increase of $8.3 million or 9% compared with the fourth quarter of the prior year. As a percentage of revenue, adjusted operating expenses decreased by 200 basis points to 34%. Adjusted operating expenses for fiscal 2023 were $403.6 million, an increase of $54.9 million or 16% compared with the prior year. As a percentage of revenue, adjusted operating expenses decreased by 60 basis points to 34.5%. In the fourth quarter, higher operating expenses were driven by performance based compensation, investments in sales and marketing and R&D, and return to normal spending activities, partially offset by improving freight and Operational Excellence Program savings. In fiscal 2023 higher operating expenses were driven by performance based compensation, higher upfront investments in operations to meet unprecedented demands in plasma collections, along with manufacturing cost headwinds such as higher freight costs within our network and expedited outbound shipping costs. Contributions from our productivity savings helped offset some of the cost increases, both in the quarter and in fiscal 2023. Fourth quarter adjusted operating income was $53.9 million, an increase of $7.3 million or 16% and adjusted operating income for fiscal 2023 was $218.4 million, an increase of $31.3 million or 17% compared with the prior year. As a percentage of revenue, adjusted operating income margin was 17.7% in the fourth quarter and 18.7% in fiscal 2023, up 10 basis points and down 10 basis points respectively compared with the same periods in fiscal 2022. The impacts of the macroeconomic driven inflationary environment upon our adjusted operating margins in fiscal 2023 were broad based, including freight, raw materials, and labor. We incurred approximately 390 basis points impact from inflationary pressures on our adjusted operating income margin in fiscal 2023 compared to approximately 300 basis points impact in fiscal 2022. In addition, we incurred higher performance based compensation in fiscal 2023 than in the prior year. Our operational excellence program is an important lever in our efficiency and ability to create savings. In our fiscal 2023 this program delivered $26 million of gross savings, freeing up resources to fund additional investments. Since the inception of this program, we have generated $96 million in cumulative gross savings slightly ahead of our plan. We also had positive contributions towards operating margins from Vascular Closure. As this business grows, we can expect higher leverage positively impacting our margins. We are excited about the opportunities in Vascular Closure and will continue to allocate investments to fund its growth in both new and existing markets. The adjusted income tax rate was 23% for fourth quarter and 24% for fiscal 2023, compared with 22% for both comparative periods of the prior year. The adjusted income tax rate in fiscal 2023 was higher due to jurisdictional earnings and executive compensation. Fourth quarter adjusted net income was $39.2 million, up $5.7 million or 17%, and adjusted earnings per diluted share were $0.77, up 18% when compared with the fourth quarter of fiscal 2022. Adjusted net income for fiscal 2023 was $155.7 million, up $23.1 million or 17%, and adjusted earnings per diluted share was $3.03 up 17% when compared with the prior year. Changes in the adjusted income tax rate, higher interest expense, and FX had a negative $0.07 impact on the fourth quarter, and a negative $0.19 impact on the full year adjusted earnings per diluted share when compared with the prior year. Cash on hand at the end of the fourth quarter was $284 million, up $25 million since the beginning of the year. Free cash flow before restructuring and restructuring related costs was $190 million compared with $117 million at the end of the last fiscal year. During fiscal 2023, Haemonetics benefited from increased operating cash flow, partially offset by $75 million in share repurchases. Additionally, the company paid $32 million of earn out payments related to previous acquisitions and made a $30 million Euro investment in Vivasure Medical. Moving on to fiscal 2024 earnings guidance, we expect fiscal 2024 adjusted operating margins in the range of 20% to 21%. In fiscal 2023 unprecedented growth in plasma created atypical operational pressures. To ensure that we continued to fulfill our customer's needs, we were required to purchase components and other manufacturing inputs at spot prices, which negatively affected our margins. We expect these inefficiencies to persist in the near-term, but to start to abate in the second half of fiscal 2024. Therefore, our operating margin guidance is backend loaded with first half margins expected to be below our full year guidance range before growing in the second half. In addition to an improving manufacturing environment, we will continue to benefit from a favorable sales mix and improving the profitability of our hospital business. We expect our Operational Excellence Program to deliver additional growth savings of approximately $20 million, $6 million of which are net savings benefiting our bottom line with total cumulative savings reaching $116 million by the end of our fiscal 2024. Despite the additional near-term operational challenges, the margin expansion goals we presented in our long range plan are on track. Our adjusted earnings per diluted share guidance for fiscal 2024 is a range of $3.45 to $3.75, representing a 14% to 24% growth rate when compared with fiscal 2023.
NexSys: Adjusted operating expenses in the fourth quarter were $103.6 million, an increase of $8.3 million or 9% compared with the fourth quarter of the prior year. As a percentage of revenue, adjusted operating expenses decreased by 200 basis points to 34%. Adjusted operating expenses for fiscal 2023 were $403.6 million, an increase of $54.9 million or 16% compared with the prior year. As a percentage of revenue, adjusted operating expenses decreased by 60 basis points to 34.5%. In the fourth quarter, higher operating expenses were driven by performance based compensation, investments in sales and marketing and R&D, and return to normal spending activities, partially offset by improving freight and Operational Excellence Program savings. In fiscal 2023 higher operating expenses were driven by performance based compensation, higher upfront investments in operations to meet unprecedented demands in plasma collections, along with manufacturing cost headwinds such as higher freight costs within our network and expedited outbound shipping costs. Contributions from our productivity savings helped offset some of the cost increases, both in the quarter and in fiscal 2023. Fourth quarter adjusted operating income was $53.9 million, an increase of $7.3 million or 16% and adjusted operating income for fiscal 2023 was $218.4 million, an increase of $31.3 million or 17% compared with the prior year. As a percentage of revenue, adjusted operating income margin was 17.7% in the fourth quarter and 18.7% in fiscal 2023, up 10 basis points and down 10 basis points respectively compared with the same periods in fiscal 2022. The impacts of the macroeconomic driven inflationary environment upon our adjusted operating margins in fiscal 2023 were broad based, including freight, raw materials, and labor. We incurred approximately 390 basis points impact from inflationary pressures on our adjusted operating income margin in fiscal 2023 compared to approximately 300 basis points impact in fiscal 2022. In addition, we incurred higher performance based compensation in fiscal 2023 than in the prior year. Our operational excellence program is an important lever in our efficiency and ability to create savings. In our fiscal 2023 this program delivered $26 million of gross savings, freeing up resources to fund additional investments. Since the inception of this program, we have generated $96 million in cumulative gross savings slightly ahead of our plan. We also had positive contributions towards operating margins from Vascular Closure. As this business grows, we can expect higher leverage positively impacting our margins. We are excited about the opportunities in Vascular Closure and will continue to allocate investments to fund its growth in both new and existing markets. The adjusted income tax rate was 23% for fourth quarter and 24% for fiscal 2023, compared with 22% for both comparative periods of the prior year. The adjusted income tax rate in fiscal 2023 was higher due to jurisdictional earnings and executive compensation. Fourth quarter adjusted net income was $39.2 million, up $5.7 million or 17%, and adjusted earnings per diluted share were $0.77, up 18% when compared with the fourth quarter of fiscal 2022. Adjusted net income for fiscal 2023 was $155.7 million, up $23.1 million or 17%, and adjusted earnings per diluted share was $3.03 up 17% when compared with the prior year. Changes in the adjusted income tax rate, higher interest expense, and FX had a negative $0.07 impact on the fourth quarter, and a negative $0.19 impact on the full year adjusted earnings per diluted share when compared with the prior year. Cash on hand at the end of the fourth quarter was $284 million, up $25 million since the beginning of the year. Free cash flow before restructuring and restructuring related costs was $190 million compared with $117 million at the end of the last fiscal year. During fiscal 2023, Haemonetics benefited from increased operating cash flow, partially offset by $75 million in share repurchases. Additionally, the company paid $32 million of earn out payments related to previous acquisitions and made a $30 million Euro investment in Vivasure Medical. Moving on to fiscal 2024 earnings guidance, we expect fiscal 2024 adjusted operating margins in the range of 20% to 21%. In fiscal 2023 unprecedented growth in plasma created atypical operational pressures. To ensure that we continued to fulfill our customer's needs, we were required to purchase components and other manufacturing inputs at spot prices, which negatively affected our margins. We expect these inefficiencies to persist in the near-term, but to start to abate in the second half of fiscal 2024. Therefore, our operating margin guidance is backend loaded with first half margins expected to be below our full year guidance range before growing in the second half. In addition to an improving manufacturing environment, we will continue to benefit from a favorable sales mix and improving the profitability of our hospital business. We expect our Operational Excellence Program to deliver additional growth savings of approximately $20 million, $6 million of which are net savings benefiting our bottom line with total cumulative savings reaching $116 million by the end of our fiscal 2024. Despite the additional near-term operational challenges, the margin expansion goals we presented in our long range plan are on track. Our adjusted earnings per diluted share guidance for fiscal 2024 is a range of $3.45 to $3.75, representing a 14% to 24% growth rate when compared with fiscal 2023.
NexSys: Before we open the call up for Q&A, I'd like to conclude with a few closing thoughts. First, fiscal 2023 was a great initial installment in our long range plan, thanks to stellar performance by Plasma and Hospital. Our Plasma business is a powerful value driver fueled by strong end market demand. The base business is in line with long range expectations and will continue to deliver growth, as the robust recovery experienced in fiscal 2023 gives us compelling momentum to start fiscal 2024. Hospital continues to be strong on the heels of a record revenue quarter. Penetration and utilization in top accounts along with strategic business investments will further strengthen our leadership and expand our share. Second, we are committed to making investments to support our customers' needs along with investments as part of our Operational Excellence Program to set ourselves up for further growth and opportunities. We plan to achieve the remaining $19 million to $29 million in target savings by the end of fiscal 2025. These investments as the macro environment further stabilizes will create additional efficiency benefits and will continue to expand our margins. And finally, the strength of our underlying business, coupled with the steps we've taken this year will enable consistent expansion of our capital capacity. With the capital allocation priorities being unchanged, we will be disciplined with allocating capital to high impact, high ROI projects that accelerate growth and value creation. Thank you. And now I would like to open up the line for Q&A.
Q - Anthony Petrone: Thanks and congratulations to strong fiscal 2022 and a good start to the year here on the calendar basis. Maybe Chris, to start out a little bit on Plasma, can you just a recap of the CSL comments there? Is that 14% of Plasma revenue or total revenue just looking backward just to clarify that? And then, sort of when we think about going forward, the estimate for $100 million minimum and then extending into fiscal 2025, maybe just a little bit on the dynamics there, how that flows in through the year, is that just on an as-need basis? Is it backend loaded? And then I'll have a couple of follow ups for Jim on margin. Thanks.
Christopher Simon: Hey Anthony, thanks for the comments and for the question. Yes, we had a banner year across the board in Plasma growing 43%. CSL participated fully in that in helping drive that recovery. So we feel great about CSL and all of our customers and our ability to serve them throughout fiscal 2023. The 14% number that were in our prepared remarks is a global corporate wide number. So it includes not only the U.S. disposable volume, but also Europe and software where we offer it, so that's the aggregate number. As you peel that back, obviously the U.S. agreement is an important part of that. As we said in in our prepared remarks, we retained substantially all of CSLs volume in FY 2023 and that's a big part of our delivery there. What we communicated and then again, there's a lot of sensitivities around this that both parties need to recognize and uphold. But we have a minimum commitment that is slightly in excess of $100 million for FY 2024, and we anticipate meaningful revenue coming through in FY 2025 as well. And I think the way you should think about that from our perspective is, we're doing our part to delivery -- to deliver for them, there's value and we've essentially orchestrated a smooth ramp down over effectively a three-year period. And that gives us a lot of confidence in our broader ability to grow Plasma and the corporation through this period.
Anthony Petrone: Very helpful. And then Jim, just on margins here, yes you mentioned that we're still, we saw have some inflationary spot inputs working through the conversion cycle, through the first half and then expect the ramp in the second half. Can you give us an idea just how gross margins sort of trends throughout the year? Is the fiscal 4Q sort of margin profile what we should be thinking for the first half? And then when the inflationary inputs sort of roll off what should we be expecting in terms of a shift upward in gross margin? Thanks again.
James D'Arecca: Yes. So Antony we don't really guide on the gross margins, but let me see if I can help address some of the questions. First, yes, you're right. The inflationary pressures and what I referred to as the temporary inefficiencies previously, those will continue into the first half of fiscal 2024 for us. It will take us that long to have that flow through and then to reenter into arrangements, which are more commensurate with our demand. So you will see an uptick. So we had almost 400 basis points of manufacturing headwinds and other macro pressures this previous quarter, and, I'm sorry, for the full year. And, my sense is, is that you'll definitely see, a decent portion of that, not all of it, but a fairly decent portion of that abate as we get into the second half of next year. And that will put us in a position then to really expand both at the gross margin level, but more importantly for us at the operating margin level as we move forward through our LRP.
Anthony Petrone: Thank you.
Operator: Thank you. One moment for our next question. We have a question from Larry Solow with CJS Securities. Your line is…
Larry Solow: Great. Good morning guys. Could maybe just give us an update on, Chris, on the 15% sort of LTL [ph] long-term growth in your -- for Plasma? Is that, I imagine it's a mix of, for you guys a mix of volume and price, but can you just kind of update us on the pricing part? Is that going to, is that driven by mostly Persona, kind of where do we stand there and where is Persona today in terms of penetration of your customers?
Christopher Simon: Yes, Larry, thanks for the question. When we think about Plasma, it's definitely volume and price and perhaps a bit of mix as well. On the volume side, the conversations we're having with customers, the accelerators to the floor with no abatement in sight, right? They are doing their part to meet end market demand. Most of our customers are telling us they're not building inventory. They're -- everything they're collecting is being fractionated and put in the market to treat patients real time. So unless and until we see inventories begin to build, we don't anticipate a slowdown in the aggregate demand, so that that's a real positive for the business. When we think about the price component, it's all tied to the technology upgrade. So, as you know, the NexLynk upgrade on the software, largely an enablement which was done a year ago last December, we completed NexSys in last fiscal year, FY 2023 in the fall, late summer, early fall, we'll get to a point where we lap NexSys upgrade and the pricing associated with that. And we are at least midway through upgrading procedure volume to Persona and so, that's ongoing. The customers that have not yet adopted are all neck deep in discussions, trials, working through the required changes on their systems to be able to adopt it, to get the yield enhancements that come with it and that are unique to our system. So I feel quite good about the pace of that and the progress. That will be an important contributor as we work our way through FY 2024 and beyond.
Larry Solow: Okay, great. And just switching gears just to VASCADE and Cardiva, I think, last year at the Analyst Day you shared some pretty good stats on penetration of large accounts, top hospitals. Clearly, the growth there has been phenomenal since you guys acquired it. Could you give us just a high level outlook, kind of where you stand and, maybe what in you stand in just penetrating these top accounts? Because it feels like you got a lot of maybe still low hanging fruit for growth both in the U.S. and then International?
Christopher Simon: Yes, we fully agree with that. All right. It's a real success story and that teams continues to hit it hard to deliver the uptake in the product and it is a combination of opening new accounts. All this is U.S. based today, opening new accounts well into the second half of the top 600 U.S. electrophysiology hospitals, and then once in those accounts expanding our presence and really making Vascular Closure, VASCADE the standard for closure. And so we see that it's predominantly driven by the MVP product in electrophysiology, although with the sales force expansion and the additional clinical support we've put in place, we're now seeing meaningful growth in the other 20% of the market, which is more interventional cardiology based. So we'll continue to run that playbook. There's a good ramp from where we sit to succeed in the U.S. And then as we mentioned in our prepared remarks, we're getting ready to take the product global and Europe will be the first stop there. And with the approval in hand, we feel good about the potential to truly globalize this new standard of care for Vascular Closure.
Larry Solow: Great. If I could just please one more in, just on the operating margin goals. I know you guys don't sort of guide to growth versus operating expenses, but just can you help us just sort of bridge sort of the jump up from, say you get the low 20s or even 22 as you exit this year to sort of that high 20s goal you shared for fiscal 2026. Are you sort of reaffirming that? I mean, maybe is it was still targeted. That's a nice 600 bps improvement over two years, I guess, or yes, plus that.
Christopher Simon: Yes. Let me take a first cut at that and I'll invite James to weigh in addition to what he's already said in the prepared remarks. Look, we look at FY 2023, right where we grew our operating income EPS 17% and we looked at our guidance for FY 2024, which top line growth of 5% to 8% with bottom line growth of 14% to 24%. And we feel like in Tandem, they're an outstanding, one, two into that four-year long range plan. So we feel quite good about where we are and the progress we are making. It's not lost on any of us that we still have a sizable opportunity for margin expansion over the remainder of this plan. So that's not lost upon us, but the way it's manifest is meaningfully different than we could have anticipated even last June when we put this plan out there. And so, let me give you a couple of few highlights on it some of which is in the script, some of which is additional, right? But we faced the same macroeconomic challenges that everyone else did, foreign exchange, inflation, the supply challenges that we were successfully able to mitigate, but they came at a cost, right? We had that in addition to unprecedented demand. Plasma volume alone grew 43% last year and obviously there was price in there as well, but the share volume uptick was tremendous. And we needed to encourage sizable expediting cost, as James has highlighted, in order to meet that demand. And we're proud of the fact that we were able to rally and do so. But again, it came at a cost. I think there's a third part of that, which is mix, and I think this gets a little bit lost in the margin story, which is, we're very excited about the ability to grow our top line this year 21% in FY 2023. That meant a lot more plasma as a percent of our total revenue, for example versus hospital, which of course is much higher gross margin business. Within plasma it was a lot more, PCS2 in addition to the NexSys with Persona than we would have anticipated when we wrote the plan because of the retention there. So the combination of, more plasma and more plasma going out on the old technology did meaningfully change the complexion of that gross margin profile. As the macroeconomic factors abate, as demand normalizes, and as the transition occurs, you're going to see a threefold effect that will drive those margins. When we back test this, we're very comfortable that we'll be at or ahead of plan. When we look at the, the macro drivers, the only question mark from where we sit is the overall productivity. And again, we have a lot of confidence in what we can do and what we can control. There's obviously some things going on that are broader than the company that we'll pay close attention to as we work our way through FY 2024 and beyond. But from our perspective, it's very different than we would have forecasted perhaps even a year ago. But when you look at the overall growth in earnings, right, to put up 17%, and then the current guide, just on a sheer earnings volume, we feel great about where we are at this point in the plan.
Larry Solow: Great and I appreciate all the color.
James D'Arecca: Yes. The only thing I would add to Chris's comments too is the other tailwind that we'll get on the margin side really is the increase in volumes over time that will help us make -- make us more efficient at the manufacturing level and then our ROE [ph] savings as well. So add that to Chris's explanation and that's what gives us the confidence that we're going to get there.
Larry Solow: Excellent. Thank you.
Operator: Thank you. One moment for our next question. We have a question from David Turkaly with JMP Securities. Your line is…
David Turkaly: Great. Good morning. Can you hear me?
Christopher Simon: Yes, Dave.
David Turkaly: Thanks. Chris, I'd just love to get your updated thoughts. I know I've asked this in the past, but given what we're watching play out here, what do you think is happening with [indiscernible] and are they in centers? Are there manufacturing issues? Like what are you hearing out there about sort of that product and its rollout?
Christopher Simon: Yes, Dave, I don't really want to comment about competitors or individual customers. I can tell you this; NexSys is delivering on all basis, right? We -- the volume increase that we've been able to help our customers who are on NexSys with Persona achieve right, individual center, kind of same store sales, if you will, just off the charts from where they were even pre-pandemic. And I think, as that value proposition plays forward, we go from strength to strength. I said in the prepared remarks, one of the things we're doing, it was certainly contemplated in the plan and the forward lean that James and I have been talking about just creates that much more free cash flow and funding to invest behind the platform, behind our product development roadmap and making -- taking a, what is already the industry standard to the next level. And I think we'll have more to say about that this summer and this fall, but we're really excited about the platform and what it's delivering for customers.
David Turkaly: And then based on your comments for the contract or the -- for 2025 is there a minimum in place and would meaningful suggest something sort of north of half of what you're looking at in 2024 from them?
Christopher Simon: Dave, you want the 2025 guide, we just gave you 2024. Come on.
David Turkaly: We want it all.
Christopher Simon: Us too, what we'll say now is as we feel very good about our ability to serve all of our customers, CSL included, and I think the smooth ramp down that is anticipated is going to be good for our shareholders too.
David Turkaly: Thank you.
Operator: Thank you. Our next question comes from Joanne Wuensch from Citi. Your line is open.
Unidentified Analyst: Good morning, this is Anthony on for Joanne, thank you for taking our questions. I think the last quarter you gave sort of a breakdown of where new plasma centers versus established ones are on volumes versus pre-pandemic. Can you just give us an update? Are the established centers back to pre-pandemic levels or are they still trying to catch up?
Christopher Simon: Anthony, thanks for the question. No, the established centers are not back to their pre-pandemic levels and I think there's an ongoing debate of whether they can get to that level. They continue to chip away at it, which is positive. And we know our customers are doing everything they can to get full productivity across the network. They've in a very positive way opened so many new centers. The new centers continue, as we've said throughout to track very consistent to the long-term fit model that we have around what a center does in its first six months, in its first two years, et cetera. So that -- those models have held. The mature centers are chipping away. I think the ones on the border, for example, are doing outstanding and seeing unprecedented growth. In some of the other markets around the world, around the country, a little less so and that could potentially be because there have been so many new centers opened in towns or cities where they're in close proximity to some of those mature centers. That's a structural aspect that we and our customers are still studying. But, from our vantage point we obviously want to, we want it all, but we care mostly about individual devices and device turn rates because it drives our return on invested capital. So the total number of centers mature versus new important, but the real factor that propels our growth and our profitability is what's the turn rate on the individual devices and that's something we're getting a lot of support from customers to manage and optimize. So we can succeed with or without the full recovery and clearly our results are showing that.
Unidentified Analyst: Got it. That's helpful. And then on VASCADE, I think you said commercialization in Europe is starting this fiscal quarter. Can you share maybe what is embedded in guidance from contribution from Europe?
Christopher Simon: Yes, the guidance we've put forward for VASCADE is almost exclusively new account penetration and utilization here in the U.S. right? That's what our original deal model was predicated upon. That's what our long range plan is predicated upon, and that's what our FY 2024 guidance is focused on. And we're excited to have the CE Mark approval. We're excited to take the product internationally, and we will definitely lean into it. We're making the investments there. It will be a hybrid model where we'll use a mix of direct selling resources most of which didn't exist six months ago coupled with distributor markets in our own back office. And so it will be a ramp, it will be a more modest ramp if we can accelerate that. We'll look for every opportunity to do so. But our plan this year is almost entirely dependent upon success in the U.S. which we're confident in. We feel great about what's happening there.
Unidentified Analyst: Great. Thank you very much.
Operator: Thank you. And our next question comes from Mike Matson with Needham & Company. Your line is open.
Mike Matson: Good morning. I guess I wanted to start with one of your customers [indiscernible] reported and recently, and they talked about cutting donor payments by 25%. I guess there's different ways that can be interpreted, but how do you interpret it? Is it is a good thing and is it a bad thing for your -- for plasma volumes?
Christopher Simon: Yes Mike, don't have a lot of firsthand visibility into the remuneration rates that are, to the individual donor. We obviously track it, we pay close attention to it, and I think there's a variety of different philosophies at work here. What we are seeing in the aggregate, as we said earlier and in the prepared remarks is unabated demand for more plasma, and that's manifest in the number of new center openings, and it's manifest in the amount of reimbursement that is out there. All that said, this macroeconomic environment for all the challenges it's created for us and everyone else is on balance a positive in terms of motivating donors into the center. And if over time our customers use that as an opportunity to pull back on the reimbursement, that's, historically we've seen some of that. It's not the norm at this stage and we'll see how that plays forward. From our vantage point in many ways, this all relates back to cost per liter, which is a metric they focus very closely on. It's another reinforcement for our platform because I think we've got unequivocally the best, most superior ability to reduce cost per liter. And so from our vantage point driving adoption of NexSys with Persona is the answer to that question.
Mike Matson: Okay, thanks, that was helpful. And then just on the VASCADE launch in outside the U.S. and in Europe in particular, I know sometimes in some of these cardio markets, there's some different competitors over in that region. So is -- how does the competitive landscape look for Vascular Closure there? Is it similar to the U.S.? Are there any products there maybe that you're not competing with here? And then I guess the second part of the question would be, I know that those markets are also a lot more kind of cost sensitive, so is the price of VASCADE potentially going to be a barrier to adoption?
Christopher Simon: Yes Mike, they're all relevant points, right? We like the global applicability of VASCADE in what is a global market for electrophysiology, right? It's a fast growing market throughout EMEA and Japan as well, and we think the product is an outstanding fit for those markets. But each of them are different, right? What we'll do to be successful in Germany will look different than what we do in the UK, et cetera. And so that's the planning and the uptick work that's underway. There are different reimbursement rates and there are different standards of care. And so some of the health economic arguments of the product that have been so powerful here in the U.S. may play out differently and we'll do our part in helping evolve those markets because at the end of the day, we think this product is one of those that hits the trifecta, right? It improves the standard of care. If you had your choice, you'd use this for closure versus compression or suturing, it is just a better approach. It is health economically viable because it drives same day discharge, particularly for the EP ablation procedures and gets patients home where they heal better and are more comfortable and it reduces system-wide cost and not for nothing on both of those fronts we have the data to back it up. The markets are at different starting points. It's why you may see a very different ramp in those countries. And we've got some folks on the ground working hard to make sure we understand that ramp and are maximizing it where we can.
Mike Matson: Okay, got it. Thank you.
Operator: Thank you. We have a question from Drew Ranieri with Morgan Stanley. Your line is open.
Drew Ranieri: Hi, Chris and James, thanks for taking the questions. Just maybe three quick ones on my end, but first on plasma centers, kind of the guidance for down 2% or flat, I think is one of the better guidance outlooks that the company has posted for the past few years. So can you maybe just talk about really kind of what the improvement you're seeing in the businesses in fiscal 2024, maybe first historical trends to start? And then I had a couple of other follow ups. Thanks.
Christopher Simon: Yes, Drew. Thanks for the question. I'll just clarify, so the minus two to flat for blood center for the year is a combination of apheresis and whole blood. They're very different stories within those. We've worked hard with a focus on apheresis. It's continually evolving to more plasmapheresis, blood centers collecting plasma in some cases for medical purposes, in other cases as part of fractionation. Both are attractive to us. NexSys has a role there. We talked a bit about the success we're experiencing with one of our customers in Egypt as an example. That's a great one where kind of the market, the line between blood center and plasma is blurring. NexSys walks that line and does an outstanding job for all of those customers. So that's a big part of what's driving it. In the near-term, we've had real success in the U.S. with our whole blood filter products. Some of our competitors have been unable to supply the market. It's a market that's waned for us over the years. And I think what we're seeing here, and certainly over the last three or four quarters, and we expect that to continue into FY 2024, it's us taking back share because we're able to supply filters when the market cannot. And so, yes it's -- we'll see how long lived it is, but we're delighted to be there for those customers as we are with all of our customers and that's certainly helping the guide for Blood Center in 2024.
Drew Ranieri: Got it. Thank you. And on plasma, just a couple follow ups here, but I mean, if we kind of adjust out a stocking order from last, the prior year period, I mean, plasma looked like it was up 40% in the quarter, but is there any stocking orders that you experienced in this quarter as you're thinking about fiscal 2024 and CSL? And then second, when we do think about the CSL contribution for fiscal 2024, should we think about the incremental margins being the same as you've previously laid out? And then third, on Persona, I think you mentioned that you're midway on procedural volumes for Persona for collections, but are you embedding any additional contract wins in fiscal 2024? I just wanted a little bit more clarity on that. Thanks for the multi-parter here. Thanks.
Christopher Simon: Let me see if I can do justice to the question Drew. Yes and you are right. There's - there are always vagaries one quarter to the next one, one year to the next. The reality is most of just about the U.S. in the main our customers don't have the ability to hold inventory. And given how hot we've run on demand, we're not holding much inventory either, is when you look at our working capital, you'll see. So, we think what you -- what we are reporting is organic demand, right? It's going into the market and being used usually in the next two weeks, three at the most. So not a lot of puts and takes there FY 2023 versus FY 2024. What we're seeing is organic and quite real. On the CSL margins, I think that's a safe assumption. Just use what we've put out there historically. There's no, reason to change that. And then with Persona, yes, we've -- yes we're leaning into that. There are changes that our customers need to make in order to be able to drive the broad-based adoption and it has been our norm. We're really hesitant to include sizable gains even from technology upgrades on less than until they've been contracted. So we tend to take a more conservative stance on that.
NexSys:
Drew Ranieri: Thanks for taking the multiple questions.
Christopher Simon: Sure.
Operator: Thank you. One moment for our next question. We have a question from Michael Petusky from Barrington Research. Your line is open.
Michael Petusky: Hey guys. Great finish and guide. So I guess a couple questions. One, I don't know if you guys have disclosed this at any point, but I am curious. If you exclude CSL, what percentage of your installed base still uses PCS2?
Christopher Simon: In the U.S. none.
Michael Petusky: Okay. All right, all right, very good. And then I was wondering, some puts and takes here, but and again, I may have missed this as well, but the cadence of EPS in terms of the first half, second half in 2024, any help or if I missed that, I apologize. Thanks.
Christopher Simon: No. So we basically said that the first half would be, oh I'm sorry, we basically said that the second half would be a bit better than the first half as the manufacturing inefficiencies begin to abate, and I talked about it in the context of the operating margin line. So…
Michael Petusky: Oh, well, yes, I heard that and then the commentary around plasma, I'm just curious, I mean, is it like 55, 45 waited to the second half? I mean, any help you can give there in terms of adjusted EPS?
Christopher Simon: Yes, it's probably weighted to the second half. Yes, it's somewhere in and around that range maybe even a little bit less than that.
Michael Petusky: I think that's all I've got. Thanks guys.
Christopher Simon: Thank you.
Operator: Thank you. And that's all the questions we have. This does conclude today's conference call. Thank you for participating. You may now disconnect.